Operator: Good day, and thank you for standing by. Welcome to the UniFirst second quarter 2025 earnings conference call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you will need to press star one one on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star one one again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Steven Sintros, President and Chief Executive Officer. Please go ahead.
Steven Sintros: Thank you, and good morning. I'm Steven Sintros, UniFirst President and Chief Executive Officer. Joining me today is Shane O'Connor, Executive Vice President and Chief Financial Officer. We'd like to welcome you to UniFirst Corporation's conference call to review our second quarter results for fiscal year 2025. This call will be on a listen-only mode until we complete our prepared remarks, but first, a brief disclaimer. Our conference call may contain forward-looking statements that reflect the company's views with respect to future events and financial performance. These forward-looking statements are subject to certain risks and uncertainties. The words anticipate, optimistic, believe, estimate, expect, intend, and similar expressions indicate future events and trends identify forward-looking statements. Actual future results may differ materially from those anticipated, depending on a variety of risk factors. For more information, please refer to the discussion of these risk factors in our most recent 10-Ks and 10-Q filings with the Securities and Exchange Commission. We are pleased with the results from our second quarter, which were largely in line with our expectations. We are excited that our investments in the business are starting to show returns in several areas, including improved profitability, cash flows, and overall operational execution. I want to sincerely thank all of our team partners who continue to always deliver for each other and our customers as we strive toward our vision of being universally recognized as the best service provider in the industry, all while living our mission of serving the people who do the hard work. We serve the people who do the hard work as they are the workforce to keep our communities up and running. They are our existing and prospective customers as well as our own UniFirst team partners. Our mission is to enable those employees and their organizations by providing the right products and services to do their jobs successfully and efficiently. Whether that means providing uniforms, workwear, facility services, first aid and safety, cleanroom, or other products and services, our goal is to partner with our customers to ensure we structure the right program products and services for their businesses and their team, all while providing an enhanced customer service experience. Second quarter consolidated revenues were $602.2 million, an increase of 1.9% from fiscal 2024 and 2.3% on an organic basis. Operating income and adjusted EBITDA increased during the quarter by 11.7% and 6.3% respectively compared to the second quarter of fiscal 2024. Our team continues to execute our strategy, investing in our people, technology, and infrastructure to support growth and improve profitability. As I've discussed previously, the execution of our strategy and the value it will create will not be fully unlocked in the next quarter or next year. It will take time, but we continue to have confidence in the significant opportunities we have in front of us and our ability to capture them and drive shareholder value. We are pleased with the progress we continue to make in the areas of operational execution and margin enhancement, which allowed us to show solid improvements in operating income and adjusted EBITDA during the quarter despite the modest growth. The improvement was primarily captured in some of our core laundry operations key operational costs with benefits recognized in merchandise and plant production expenses. These items were partially offset in the quarter by higher healthcare costs as well as ongoing investments we are making to improve top-line growth and drive further efficiencies. We also continue to see improvements in our operating cash flow, year to date was up 20.2% compared to the same period a year ago. From a top-line perspective, we saw some positive trends during the quarter, with respect to the performance of both our sales and service organizations. We installed more new business than a year ago by a solid margin and continue to supplement our local selling efforts by adding and expanding our large national account relationships. As we have discussed for a couple of quarters now, we continue to be encouraged by trends we are seeing in our revenue-related leading indicators. Our KPIs around contract renewals and NPS scores, for example, continue to trend favorably. In the second quarter, we also saw notable improvements in customer retention compared to the same quarter a year ago. From an ads versus reductions perspective, net wear levels for our existing customers declined in the quarter, showing some incremental weakness compared to the same quarter last year. As a company, we will continue to focus on investments in the business to enhance our ability to attract new customers, sell additional products to existing customers, as well as enhance our customers' experience, and drive improved retention. An example of our investment in growth is our recently announced expansion of our distribution center in Owensboro, Kentucky. This over 100,000 square foot expansion will allow for improved speed and efficiency for the direct sale of uniforms to our customers. We continue to see growing opportunities to service our uniform and facility service rental customers with direct sales and e-commerce offerings to supplement their business needs. This is a great example of the investments we are making to ensure we are providing industry-leading service to our customers, as well as taking advantage of all of the revenue and growth opportunities that the market has to offer. In addition to growth-centric investments, we also believe there is ample way to improve our profitability with ongoing efforts to focus on driving productivity and the consistency of our operational execution. We are excited about the progress that our new Chief Operating Officer, Kelly Rooney, is making in aligning our operations around the UniFirst Way which will be critical in achieving our goals. The UniFirst Way focuses on creating scalable, executable, repeatable processes to drive a consistent and differentiated customer experience. Additional profit improvement opportunities exist in areas of strategic pricing, procurement, sourcing, inventory management, among others. We have talked in prior calls about how our new ERP system and related technology investments will be a foundational component of many of these benefits allowing them to be enabled more fully. However, ahead of full implementation, we are going to take advantage of the opportunities available to us in the near to midterm and setting ourselves up for more robust improvements post-deployment. With that, I'll turn the call over to Shane, who will provide more details on our second quarter results as well as our outlook for the remainder of fiscal 2025.
Shane O'Connor: Thanks, Steve. In our second quarter of 2025, consolidated revenues were $602.2 million, up 1.9% from $590.7 million a year ago, and consolidated operating income increased to $31.2 million from $27.9 million or 11.7%. Net income for the quarter increased to $24.5 million or $1.31 per diluted share from $20.5 million or $1.09 per diluted share. Consolidated adjusted EBITDA increased to $68.9 million from $64.8 million in the prior year or 6.3%. Our financial results in the second quarters of this fiscal 2025 and 2024 included approximately $1.9 million and $3.2 million respectively of costs directly attributable to our key initiatives. The effect of these items on the second quarter of fiscal 2025 and 2024 decreased operating income and adjusted EBITDA by $1.9 million and $3.2 million respectively. Net income by $1.6 million and $2.5 million respectively and diluted EPS by $0.09 and $0.13 respectively. Our core laundry operations revenues for the quarter were $530.4 million, an increase of 1.5% from the second quarter of 2024. Organic growth, which adjusts for the estimated effect of acquisitions, as well as fluctuations in the Canadian dollar, was 1.9%. Core Laundry operating margin increased to 4.6% for the quarter or $24.3 million from 3.6% in the prior year or $19 million. And the segment's adjusted EBITDA margin increased to 11.2% from 10.3%. The costs we incurred related to our key initiatives were recorded to the core laundry operations segment, and decreased core Laundry operating and adjusted EBITDA margins for the second quarter of fiscal 2025 and 2024 by 0.3% and 0.6%, respectively. Segment operating and adjusted EBITDA margin comparisons benefited from lower merchandise and production costs as a percentage of revenues, partially offset by higher healthcare claims expense and selling and administrative costs in the second quarter of 2025 as a percentage of revenues. Energy costs in the second quarter of 2025 were 4.2% of revenues. Revenues from our specialty garments segment, which delivers specialized nuclear decontamination and cleanroom products and services, increased to $44.4 million from $43.5 million in the prior year or 2.2%. This was primarily due to a strong top-line performance in our European nuclear operations. The segment's operating margin for the quarter was 16.7%, down from 22.8% in the prior year. As we've mentioned in the past, this segment's results can vary significantly from period to period due to seasonality as well as the timing and profitability of nuclear reactor outages and projects. Our first aid segment's revenues increased to $27.5 million from $24.8 million in the prior year, or 10.6%. This was driven by strong growth in our van operations. The segment had a nominal operating loss of $0.5 million during the quarter as the segment's results continue to reflect the investments we are making in our first aid van business. At the end of our second fiscal quarter, we continue to reflect a solid balance sheet and financial position with no long-term debt and cash, cash equivalents, and short-term investments totaling $201 million. As Steve mentioned, in the first half of fiscal 2025, we continue to see solid improvement in our cash flows from operating activities, which increased 20.2% to $128.3 million primarily due to improved profitability and lower working capital needs of the business. We continue to invest in our future with capital expenditures of $66.1 million, repurchased $12.5 million worth of common stock, and acquired four small first aid businesses for which we paid a total of $5.4 million. I'd like to take this opportunity to provide an update on our outlook. At this time, we expect our revenues for fiscal 2025 to be between $2.422 billion and $2.432 billion, which reflects the anticipated negative impact of the Canadian dollar exchange rate compared to our original expectations. We further expect diluted earnings per share to be between $7.30 and $7.70, which reflects improvement in our core laundry operations operating income and an assumption that our key initiative costs in fiscal 2025 will approximate $12 million, revised down from prior estimates. Our outlook does not include the impact of any future share buybacks, the uncertain impact of potential increases in tariffs, or other unexpected events affecting the economy generally. And as a reminder, fiscal 2025 includes one less week of operations compared to fiscal 2024. Steve, back to you.
Steven Sintros: Yes. Thanks, Shane. Before opening the call to questions, I'd like to briefly address our engagement with Cintas. As previously announced in January 2025, UniFirst Board of Directors rejected an unsolicited proposal from Cintas to acquire the company after considering numerous factors, including the offer price, execution and business risk, feedback from some of the company's largest shareholders by voting power, and the company's future growth and value creation opportunity. Subsequent to that announcement, UniFirst and its advisers agreed to engage with Cintas with the goal of addressing certain of these factors. Ultimately, those discussions ceased as referenced in Cintas's press release from last week. As I discussed earlier, the board and leadership team continue to be focused on executing our strategy to drive growth and profitability and remain committed to creating shareholder value. We do not intend to comment about this process any further and respectfully ask you limit your questions to our quarterly financial and operational results. With that, let's open up the line for questions.
Operator: Thank you. Our first question comes from the line of Manav Patnaik with Barclays. Your line is now open.
Ronan Kennedy: Hi. Good morning. This is Ronan Kennedy on for Manav. Thank you for taking my question. I want to be respectful of the comment there at the end of the prepared remarks saying you won't be speaking to Cintas, but you did speak to continuing to have confidence in the execution of strategy and the value it will create. Can you remind us? Because I think, you know, the offer from Cintas was unanimously regarded to be very compelling. Kinda how you plan on achieving equivalent value creation, the same value on a standalone basis in the time frame over which you think you can achieve that. If not, specific context of the offer, but your goals and objectives there and the time frame for achieving them.
Steven Sintros: Sure. We talked about this a little bit last quarter, Ronan, and our stance hasn't changed. We talked a lot in our prepared remarks and in some of our discussions last quarter as well. How much opportunities we think we see in the business or we know we see in the business and we think we can drive our results from a top-line perspective to back toward mid-single digits growth as well as EBITDA margins that are in the high teens. So those are the high-level goals that we've set for ourselves. As I alluded to in my prepared remarks, you know, with the journey we're on with some of the technology investments, we continue to make improvements toward those goals. We think that the tech investments will fully enable more of those benefits. Shane had previously laid out the horizon for some of those tech investments. And those full deployments of our ERP don't really take hold till probably fiscal 2027. So you can kind of get a sense of the horizon. We expect to be on a steady journey some of those larger benefits will be a little bit back-end loaded in that journey. Hopefully, that helps answer some of the question.
Ronan Kennedy: It does. Thank you. And then how should we think about, I guess, more the near and immediate term perhaps through the back half of your fiscal 2025 and into 2026 with sounds like the initiatives on the scalability, excitability, repeatability down strategic pricing, procurement, inventory management, the near-term impacts from a margin standpoint going forward. You know, is there a step up in margin profile, etcetera?
Steven Sintros: Yeah. I think we you know, our second half of the year sort of speaks for itself. We're happy with the results for the first half of the year, and we'll continue to try to keep that momentum going through the second half of the year. And as we look into next year, you know, we certainly don't want to put out guidance, but we will look to continue to take advantage of those benefits and continue to move the needle for the things we can control prior to some of that tech enablement. So we feel good about that. I think in the near term, you were really looking to drive that top line back to more meaningful growth. And some of the leading indicators that I've referenced are giving us some confidence that we're moving in the right direction there.
Ronan Kennedy: Thank you. Appreciate it.
Operator: Thanks, Ronan. Our next question comes from the line of Kartik Mehta with Northcoast Research. Your line is now open.
Kartik Mehta: Hey. Good morning, Steven and Shane. I was wondering, just any impact on the business from tariffs? I believe I think you have some plants in Mexico and so I was wondering if that is having if the tariffs will have any impact on the business. And if so, if that's already reflected in the guidance.
Steven Sintros: It's a good question. Very appropriate for the day. As Shane, I think, alluded to, we have not built in any specific impact of the tariffs related to the uncertainty of the situation. The reality is a lot of the products we procure come from outside of the United States. Some of our core uniforms, whether they're through facilities where we self-manufacture or through partnerships that we have all over the world. Until we have more visibility to the situation, we have not built in any impact on the tariffs. I think, you know, just honestly, there probably would be some short to midterm impact, depending on what happens, but we have confidence in our ability to pivot and work with our partners to try to minimize any impact over time. But it's a tough question to answer today with all the uncertainty around the situation and certainly, we'll have more visibility ninety days from now.
Kartik Mehta: Okay. And then just, Steve, on pricing, one, for existing customers, maybe, you know, your ability to get some price increases, and just on new competition. I think, you know, last quarter, you talked a little bit about that the price competition was increasing and maybe it was harder to get price increases. So I'm wondering it stands today and if there's been any change in the marketplace.
Steven Sintros: Yeah. I'd say really not any change from ninety days ago if you take a step back, we talked about the cycle we've been through. Certainly, through the periods of higher inflation, I think customers were more willing to partner and understanding that the costs were going up more broadly. As that had moderated a bit, we talked about how customers were becoming more sensitive to price adjustments, and that was impacting things. Again, back to the question about the tariffs, it's sort of uncertain as to what cycle we'll be entering into going forward. Your comment about new account pricing, that continues to remain very competitive. But, again, I think we're having pretty good success on the sales side, and we feel comfortable with our approach going forward.
Kartik Mehta: Perfect. Thank you very much. I appreciate it.
Steven Sintros: Thank you.
Operator: Our next question comes from the line of Tim Mulrooney with William Blair. Your line is now open.
Luke McFadden: Hi. This is Luke McFadden on for Tim Mulrooney, and thanks for taking our questions today. Maybe just want to start here on the guidance. Excluding key initiative costs, it looks like you raised your full-year EPS guide a bit here. I was curious if that's mainly on an improvement in core laundry margins or is there any other factors to consider there as well?
Shane O'Connor: No. That actual adjustment is primarily related to improvements that we're seeing and that we're The guidance as it relates to the other segments has largely stayed the same.
Luke McFadden: Understood. Thanks. And just following up here, maybe sticking with the core longer margins. You know, expecting those margins to be a bit better in the second half. Know, is there any kind of seasonality that we should be considering there as being a driving factor or maybe more so just kind of some of these key initiative costs coming through and you know, seeing those shine through in the second half. Thanks.
Shane O'Connor: Yeah. The profitability of our or the seasonality of our profitability is sort of consistent with prior year. Our second quarter is always our least profitable year as we have a number of expenses. That sort of disproportionately drop in that second quarter. Our first quarter is oftentimes more profitable as well because of the resetting of our salary increases or the merit process that takes place. It's the beginning of our calendar year. You take a look at, the current year, however, I just want to highlight the fact that last year had an extra week and that was positioned in our fourth quarter. And when you take a look at the back half of the year in comparison to prior year, that extra week oftentimes carries with it some profit benefit. Right? Because although we do our best to make sure that we're getting a full extra week of costs around things like our merchandise and our payroll. Some of the costs around things like utilities and other types of bills that we often get on a calendar month basis. Is difficult to quantify, but it does translate into some improved profitability in those quarters where we have that extra week. So the fourth quarter of 2024 was slightly more profitable than maybe it would have been on a thirteen-week basis, and that'll sort of provide a year-over-year headwind when we're talking about our fourth quarter experiences here.
Luke McFadden: Thank you very much.
Operator: Thank you. Our next question comes from the line of Justin Hawke with Baird. Your line is now open.
Justin Hawke: Great. I guess I had two, here. Guess the first one was just I wanted to clarify that the it sounds like the organic growth rate that you're expecting for Car Rental and Rental, I'm assuming is unchanged for the year with maybe the moving pieces being that the retention rate on your existing accounts is up a little bit and that's maybe offsetting the little bit of degradation on the ad stops and kinda leads you at the same same place. Is that the right way to characterize it?
Shane O'Connor: That's right. That's right. Coming into the year, we said that the organic revenue growth rate at the midpoint of the range was going to approximate 1.8%. That's what we expect currently. There are some of the puts and takes that you mentioned, but it hasn't meaningfully changed our expectation.
Steven Sintros: Other thing I'll say, Justin, is that we did assume some improvements in retention. You know, obviously, talked last year about how it wasn't our best retention year. Some of that we assume, would improve this year, and we are seeing some of that improvement. And really, as you know, kind of as the revenue sort of improved quarter to quarter, benefits we're seeing today will have more of an impact on next year as they build upon themselves.
Justin Hawke: Yeah. I do. Right? I guess my second question is just to clarify on the the deduct is is that truly a reduction of four million in cost of implementation, or is that just less spending you're gonna be doing this year and and those costs you know, roll into into 2026.
Shane O'Connor: Yeah. That's a really good question. There hasn't been a meaningful difference in what we expect to be incurring related to the ERP. Nor has there been a change in the timing in which we're which we're incurring them? I think the big difference is that as we get into the current phase of our ERP, a higher percentage of the cost we're incurring are sort of qualifying for capitalization. So less of those are flowing through our P and L.
Justin Hawke: Okay. Okay. I guess I'll leave it there. Thank you for answering our questions this morning.
Steven Sintros: Thank you.
Operator: Thank you. Our next question comes from the line of Josh Chan with UBS. Your line is now open.
Josh Chan: Hi. Good morning, Steven and Shane. Thanks for taking my questions. On the core laundry margin outlook getting better, what exactly did you see this quarter or expect for the coming quarters? Gives you the confidence to push up your margin outlook?
Steven Sintros: You know, I think when you some of my prepared remarks, Josh, it's really when you think of our core expenses, particularly from a cost of revenues perspective, merchandise is the biggest, the cost to run our facilities is sort of the next biggest, We continue to see improvements in their those areas. Some are based on investments we've made in sourcing in supply chain. Some of it is us kinda hitting our stride with using our new system from a couple of years ago that was implemented. And some of it is, you know, significantly improved staffing. Which also comes from some investments we've made in how we onboard and train our employees. So that stability for from a production perspective for example, is leading to lower overtime, lower needs for outs temporary labor, and a lot of things we were incurring over the last couple of years through the staffing disruptions that we we, like many companies, were experiencing we're seeing a lot of that stuff improve, and and we have confidence that it'll continue over the course of the year.
Josh Chan: Great. That's encouraging to hear. And on your comment about retention becoming better than last year, could you just kind of remind us the shape of your retention over the last couple of quarters, I guess. When was retention sort of at the trough? And it sounds you're you're kind of improving now. But just wondering about the timing of when retention was sort of the worst, I guess.
Steven Sintros: We've been really talking probably for the last eighteen months or so about it being elevated from our historical levels. And in the first quarter, I think I may have mentioned that you know, year over year, we really didn't see that much of a change. But the leading indicators were headed in the right direction. And now we're seeing some of that come through in the retention levels. So yeah, I expect if we continue to have this better performance, we'll be seeing some real improvements over the numbers reported through the second half of last year.
Josh Chan: Great. Thank you for the color, and good luck in the second half.
Steven Sintros: Thank you.
Operator: Thank you. Our next question comes from the line of Andrew Steinerman with JPMorgan.
Andrew Steinerman: Hi, everybody. Could you let us know where UniFirst Net Promoter Scores currently stand? I heard you mentioned them in the prepared remarks, and I know that UniFirst has a goal of becoming the best service quality provider in the industry. Shouldn't that quality lead to market share gains?
Steven Sintros: I would agree with all of that, Andrew. We are not gonna provide specific net promoter scores, particularly we're still in the earlier phases of the program and continuing to ramp up the sample size we're getting. But they continue to improve. And I think we're seeing that correlate both with the stability of our staffing that I talked about, as well as the retention. Right? So we're excited about that program and we're using it for. And your second comment is a hundred percent true. I think part of our strategy is based on continuing to improve the customer experience improving the customer's perception and the reality of the quality of UniFirst service and helping us win more and lose less.
Andrew Steinerman: Right. And how often are Net Promoter Scores surveyed?
Steven Sintros: I'm sorry. Say that again?
Andrew Steinerman: How often do you do the Net Promoter Score survey?
Steven Sintros: The net promoter score survey, there's a formula. I don't have off the tip of my tongue, but it basically depending on the size of the account, it hits certain of the key individuals at that count a certain number of times a year. So it's sort of an ongoing program We continue to promote it with our customers as well to continue to try to improve response rates. Although I think compared to other comparable programs, we're getting pretty good response rates early on. But it's an ongoing it's an ongoing fluid program that doesn't really stop.
Andrew Steinerman: Thank you.
Steven Sintros: Thank you.
Operator: Thank you. And I'm currently showing no further questions at this time. I'd like to turn the call back over to Steven Sintros for closing remarks.
Steven Sintros: As always, I'd like to thank everyone for joining to review our results and we look forward to speaking with you again in July when we expect to report our third quarter performance. Thank you, and have a great day. This concludes today's conference call.
Operator: Thank you for your participation. You may now disconnect.